Daniel Kontoh-Boateng: Good afternoon and welcome to Evoke Pharma's Third Quarter 2021 Earnings Conference Call and Audio Webcast. With me today are Dave Gonyer, Evoke's Chief Executive Officer; and Matt D'Onofrio, Chief Business Officer; as well as Chris Quesenberry, GIMOTI's Chief Commercial Officer from EVERSANA. Earlier today, Evoke issued a press release announcing financial results for the third quarter that September 30, 2021. We encourage everyone to read today's press release as well as Evoke's quarterly report on Form 10-Q, which is filed with the SEC. The Company's 10-Q report and press release are also available on Evoke's website at www.evokepharma.com. In addition, this conference call is being webcast through the company's website and will be archived to 30 days for future reference. Please note that certain information discussed on the call today is covered under the safe harbor provisions of the Private Securities Litigations Reform Act. We caution listeners that during this call, Evoke's management will be making forward-looking statements. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the Company's business. These forward-looking statements are qualified by the cautionary statements contained in Evoke's press releases and SEC filings, including in its quarterly report on Form 10-Q and subsequent filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast. Evoke undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. With that, I would now like to turn the call over to Dave Gonyer. Dave?
Dave Gonyer: Thank you, Daniel. And thank you all for joining us this afternoon for Evoke Pharma's third quarter 2021 earnings conference call. Today, I'll walk through the commercial progress of GIMOTI including recent traction among physicians and patients. I'll also share with you exciting details from our National Sales Meeting that took place in late September. And lastly, I'll provide an update on our marketing and outreach programs aimed at expanding both awareness and adoption of GIMOTI before turning the call over to Chris for a comprehensive overview of our sales and marketing efforts, and then to Matt, who will review our financial results for the quarter. In the third quarter, we continue to build on our momentum commercializing GIMOTI, the first novel pharmaceutical treatment for gastroparesis in 40 years. As a reminder, GIMOTI provides a new and effective option for treating acute and recurrent symptoms of diabetic gastroparesis. These patients by definitions and as noted by the FDA guidance document have erratic absorption of oral medications, which is not optimal for patients in search of relief with pills. GIMOTI addresses the unique needs of these patients by delivering the established treatment as a nasal spray that bypasses the GI tract. We've made tremendous progress navigating through the multiple ways of the pandemic with GIMOTI. This past quarter was entirely dedicated to executing on our strategic commercial initiatives. GIMOTI sales have been gaining traction due to several contributing factors, specifically increased in-person access to physician, which we haven't seen until recently, stronger dynamics among our sales team, who came together for the first time in-person at our National Sales Meeting, and effective marketing campaigns, which have allowed us to expand our reach among targeted physicians and patients. As we've highlighted in previous quarters, gaining face-to-face access with physicians had been critically important and will continue to help drive our success moving forward. Above all mediums, having a real-time conversation with healthcare professionals in-person about the important benefits of GIMOTI is by far the most effective method for getting our message across. Analysis of our own efforts to reach our targets with the details shown that it requires only 4.6 discussions with an HCP to generate their first prescription. As a comparison, we've seen other new launches of products requiring up towards 8 to 10 meetings to a similar outcome. This key insight we shared last quarter is a strong indicator of our value proposition and a motivator for our sales team. Through increased focus, new tools and incentives our in-person detail reach among targeted physicians increased significantly in the third quarter to 56% reach versus 50% achieved over the prior three quarters combined. There is a direct relationship between in-person access to physicians and product sales of GIMOTI establishing these relationships and having ongoing dialogues with physicians has been a significant catalyst in every aspect of our business. Beyond sharing the proven clinical merits of GIMOTI, our commercial progress would not have been possible without the incredible hard work, dedication and the grit of our sales team and of course the doctors and patients around the country, who were ready to try an alternative option to treat symptoms of gastroparesis. Launching a product with a new sales team amid the pandemic proved to be quite challenging. For instance, when it came to hiring sales reps, all interviews, subsequent training and meetings were conducted through online virtual tools. And due to the restrictions and limitations of COVID, our internal communications and interactions with the sales team, physicians and patients were largely virtual. Whether through Zoom sales meetings or online forums, such as Facebook, where patients using GIMOTI could share their experiences, there was always a barrier separating us. Now being deterred by or defeated by those barriers has become a hallmark of our team and how we operate. Now fast forward a year and we're now able to finally meet in-person. And in September, we hosted our First National Sales Meeting here in San Diego. It was the first opportunity for everyone here at Evoke along with EVERSANA sales and marketing teams and support management to meet collectively live and in-person with our entire sales force. And furthermore, we're joined by a practicing gastroenterologist and one of his patients, who shared their experience using GIMOTI. To help develop an even deeper appreciation and understanding of how the work we do impacts the lives of others, we invited the patient to share her powerful story of how GIMOTI has transformed her life. Her experience dealing with diabetic gastroparesis and finally finding relief was both heart wrenching and very inspiring. She had suffered for years with several different treatments and abdominal surgeries that did little to relieve her symptoms or improve her situation. She had spent much of 2020 in and out of the hospital with over 180 days as an inpatient. She had dropped from over 200 pounds to just 67 pounds and had no energy to perform simple daily activities like work or play with her grandchildren. Beyond the debilitating symptoms, she endured loss of hair, teeth, and suffered two cardiac arrests. After finding a new gastroenterologist, who focused on improving her symptoms and who proactively called her when GIMOTI became available, she now reports and I quote from her interview. GIMOTI has changed my outlook and life. I can actually get up and I can even mingle and I can run and play with my grandkids. I can get up and I can stay up all day. I have energy. And the biggest one of all is that I'm not in the hospital anymore. I spent all my time at home. In fact, I haven't been in the hospital for GI issues since I got on GIMOTI. She also reports we found out she is now up to almost 115 pounds. While this is only a single patient anecdote to hear the genuine sense of optimism in her voice, brought the full organization to understand how important our work to bring new options to treat diabetic gastroparesis truly is. Additionally, her physician, a practicing gastroenterologist participated in the meeting as well and presented an important relevant information about the diagnosis and treatment of patients with gastroparesis. The sales team also had access to the physician to answer questions important to their selling efforts. He noted his personal treatment regimen has undergone a paradigm shift and is now transferring almost all of his current patients on oral metoclopramide treatments to GIMOTI. Again, this example does not yet represent the majority of treating providers, but our goal is that this – his experience and approach is soon understood by many more in the field. This meeting has also helped to improve our team working dynamics and communication. Matt, Chris and I were able to present our goals for GIMOTI and the company more effectively to the sales team. After the experience, I'm confident that every participant emerged from the meeting with a sense of unity, purpose and a shared common goal for success. And I'm convinced that this meeting was a significant catalyst along with our marketing efforts that help make the past – this past month of October, our best month ever. We are certainly excited about the progress we've made in the third quarter. As part of our targeting strategy, it remains critical that we closely monitor our traction among doctors and patients. An important resource we continue to utilize as tracking our progress specifically among physicians has been our timely ATU studies. Our most recent study that was conducted in October measured awareness, trial and usage of GIMOTI among healthcare providers. Based on this wave of the study, the data clearly indicates that awareness and adoption of GIMOTI has continued to expand allowing us to further build GIMOTI's presence within the market. We're equally encouraged by the improvement and awareness and intent to prescribe among healthcare professionals, who receive regular visits by our sales team as well as those HCPs that are exposed to our online digital campaigns. These data reinforcing strong intent to prescribe and provide a request for samples of GIMOTI drove our decision to begin sampling. The goal of the sampling program we introduced in August is to expand access to GIMOTI and initiate patient trial, allowing physicians and patients to experience its therapeutic benefits firsthand. This is served as an important supplement to our sales efforts and has allowed us to plant more seeds where they matter. And that's among targeted GIs, who have not yet written a prescription of GIMOTI. In addition to providing physicians with samples, we encourage them to start the patient enrollment process into our Evoke CIS program as well. We're confident the sampling program has helped support our commercial efforts. Another important contributing factor to our bump in patient enrollments has been our effective and holistic marketing efforts. In collaboration with EVERSANA's talented engage marketing team, we launched the Spray Away Campaign and subsequent collateral aim to drive awareness of the new treatment option for both consumers and healthcare providers. It will also support sales growth and improve our patient outcomes while increasing the general understanding of the treatment option. This campaign was so influential that it received an award for innovation in healthcare marketing. Last quarter, we launched the first wave of a vital social media campaign to reach patients directly with education about diabetic gastroparesis. The initial wave of this program consisted of two Facebook pages, a GIMOTI branded Facebook page and a Diabetic Gastroparesis Community Facebook page called DGP-n-Me diabetic gastroparesis support. Having a strong online presence in today's digital environment is absolutely imperative for reaching our target audience to raise awareness about GIMOTI. We look to continue leveraging multiple digital platforms such as Facebook pages and the GIMOTI RX website to help deliver our message. I'd like to reiterate our continued commitment to improving the lives of those who suffer from symptoms of diabetic gastroparesis. Last month Evoke Pharma and EVERSANA hosting an exhibit booth at the American College of Gastroenterology 2021 Annual Scientific Meeting. This was our first opportunity to speak with healthcare providers at live in-person national conference about the therapeutic benefits of GIMOTI. Attending events like this with individuals who share in a common goal of improving people's lives was truly an educational and empowering experience. It is important to remember how our work impacts others and why we must keep moving the needle forward not only as a company, but as a medical discipline. With that, I'd like to turn the call over to Chris for further details on our commercial progressing of GIMOTI. Chris?
Chris Quesenberry: Thank you, Dave, and good afternoon to those of you joining us today. Evoke and EVERSANA have continued to make strong progress in commercializing GIMOTI and positioning GIMOTI as the best option to treat diabetic gastroparesis due to its unique nasal spray delivery. I'd like to emphasize that this is not merely a convenience benefit to patients, but a fundamental solution to a complex disease, which at its core defect is unpredictable or erratic stomach campaign leading to suboptimal treatment with oral therapies. Continuing to prescribe oral medicines for these patients is not a winning strategy. By bypassing the GI tract and being directly absorbed into the circulation via the nasal mucosa, GIMOTI offers a simple yet elegant solution to relieve acute and recurrent symptoms in patients with diabetic gastroparesis, which are many times debilitating as described in the patient story that Dave shared. Every day, we hear similar moving stories from doctors and patients, which just fire us to work that much harder to put GIMOTI in the hands of people who need it most. There are countless testimonials ranging from anecdotes from our sales reps that hear from doctors directly and messages posted by patients on our Facebook pages, real life examples that fuel our passion to improve the health and daily life a patient struggling with diabetic gastroparesis. They described themselves as gastroparesis warriors and it's remarkable how they persevere with this unrelenting disease in the face of limited current options, lack of information and education, insignificant under treatment and care. They are a marginalized group of people, who need and deserve support and we intend to fill that void with GIMOTI. Let's discuss the progress we continue to make in the third quarter with our commercialization efforts. Here are some highlights before I share further details. We significantly increased reach to our target physicians, improving reach 12% in the third quarter alone to 56%. We implemented a sample program in late July, early August, which is expanding access and trial of GIMOTI. We are continuing to gain traction with our online digital and social campaign, which is continuing to increase impressions each month since launch. We held our first live in-person national sales meeting in late September, which became our defacto launch meeting. We launched our national account manager team and we are engaging payers with our unique value proposition. We continue to expand the number of HCPs prescribing GIMOTI and are increasing the depth of those that are prescribing GIMOTI. And lastly, we began to see wide-scale conversion of oral patients to GIMOTI within select physician practices. Prior to jumping into the commercial efforts, I'd like to start by sharing what we are hearing from patients, who have diabetic gastroparesis and their loved ones. If you haven't heard these stories, I encourage you to visit any of the gastroparesis support groups online to really appreciate their needs and hear their voices. There are several themes that repeat across platforms. Patient's symptoms are significant and incapacitating resulting in isolation, loss of work, inability to eat and perform their normal daily functions. Patients are not controlled on current therapies and are actively seeking alternatives. They're seeking advice from one another about how to deal with their nausea, vomiting and abdominal pain, because current medicines are not working or not working fully. Stories about business to the ER, hospitalizations, insertion of feeding tubes and undergoing unsuccessful surgeries to fix the problem are commonplace versus the exception. They recognize that they cannot keep their medicines down, most likely due to nausea and vomiting and resort to share tips and tricks to help each other manage. They are aware that they are not absorbing their medicines and there are many stories of them vomiting up medicines hours and days after taking them. They themselves are wondering what happens if all of the medications they are taking suddenly do empty from their stomachs at the same time. They discuss options for treatment, including other routes of administration, including patches, depositories, liquids and IVs. Today, most of these discussions are about medicines for other comorbidities such as depression, anxiety, migraine, diabetes, to name a few. They even discuss which doctors are truly listening to them and actively working to improve their condition versus those that are dismissive and referred them away. Each of these are critical insights for both in our commercialization efforts and are supported by our own market research. We are focused on driving awareness of GIMOTI among these patients and the treatment by gastroenterologists and advanced practice providers. And we're making significant progress in reaching those targeted healthcare providers. In the face of the third wave of the pandemic, which lasted the entire third quarter and where the U.S. experienced nearly 70% of the peak weekly volume cases seen in wave 2 of COVID, we expanded our reach to 50% -- 56%, excuse me, of our targeted gastroenterologist and advanced practice providers. This represents the 12% increase in the third quarter alone. In addition, our access to our top 1,000 physician continues to rise topping 86%. Improved access to HCPs themselves was driven by the relationship that we've built since our launch with the offices and our reliable presence we have established. We achieved access to 94% of our targeted offices and our creating office champions along the way. While there's still a number of cases where we're seeing some of our targets for the first time after making calls on them for an entire year, a number of these details are resulting in trial of GIMOTI and ongoing access. To illustrate this just recently we had a case in Charleston, West Virginia, where a physician was no access since launch. A representative found a way to finally have an extended discussion and the gastroenterologist decided to try GIMOTI, but indicated that he only had a handful of patients on oral metoclopramide. Further discussion with him, caused him to query his electronic medical records, where he discovered that he had greater than 60 patients on generic metoclopramide or branded Reglan. After reviewing these patients, the gastroenterologist prescribed 42 of those patients GIMOTI on the same day. This is a great example of how the pandemic has precluded adoption of new therapeutic options and that we can turn access in these situations into positive trial for patients on GIMOTI. In addition, we're continuing to expand the number of prescribers. At quarter-end, we saw 84 new prescribing physicians and launch to date we have 383 total prescribers. The total number of prescribing physicians has risen each quarter from 46 total prescribers in Q4 2020 to 182 in Q3 2021. And we are focused on continuing to build our base of new prescribers while expanding the number of patients that previous prescribers are prescribing GIMOTI. In fact, while the number of new prescribers is expanding, the number of prescriptions per existing prescriber is also increasing and nearly two-thirds of prescriptions are coming from those HCPs that previously prescribed suggesting building confidence in GIMOTI. The growth we are seeing in new prescribers is being realized at the same time as our ongoing sample program that was launched in late July of 2021. Additionally, refill rates for GIMOTI were 62% launch to date through the end of the third quarter, a slight improvement over Q2. The refill rates that we've sustained an uptake in the number of prescribing physicians and prescriptions each quarter demonstrates that patients using GIMOTI are experiencing improved symptom relief. Dave mentioned our sampling program. We encouraged by the positive reception providers to receive and use samples with patients. Over 3,000 samples have been dispensed since the launch of the program with over 80% of the providers receiving samples being new to GIMOTI, meaning that they had not prescribed GIMOTI prior to the sample program. The fact that we were seeing an increase in prescribers and prescribing while we are initiating samples for the first time is an encouraging time. Samples are disproportionately being delivered to our top decile physicians as well, indicating excellent execution. Importantly, they are being targeted beyond targeted gastroenterologist to targeted nurse practitioners and physicians' assistants, who perform a significant portion of the medical treatment and follow up for patients with diabetic gastroparesis. These samples are a month supply and typically have a dampening effect on prescribing as physicians use these samples to gain experience. We are actively encouraging sampling and enrolling patients simultaneously to avoid any delay in patient therapy assuming that patient will have a positive trial. While we implemented the sample program in late July and samples began to arrive in our offices in August, we don't expect to receive the full benefit of these patient trials until mid fourth quarter. We are also seeing more details to providers in the three months after sampling GIMOTI compared to the three months prior to samples being provided. There were 173% more details provided to HCP sampled during the post sampling period. We're also seeing a trend in enrollments for those that have been sampled with samples HCP is being three times more likely to prescribe. As we continue to execute in the field with targeted healthcare providers, we continue to work on improving patient awareness through our online activities and presence in social and digital habits. Launch to date, we have over 10 million impressions and this continues to grow month over month. Our paid search and banner advertising is driving significant traffic to our HCP and patient websites. This campaign continues to outperform industry benchmarks and click-through rates and efficiency of spend. Thanks to our promotional efforts. The websites for GIMOTI have received nearly 100,000 page views since launch. Our focus remains on reaching many more physicians and patients through engaging and targeted content that conveys the important therapeutic benefits of GIMOTI while simultaneously translating these metrics into sales. I would like to draw a particular attention to our patient support Facebook page and companion website called DGP-n-Me or diabetic gastroparesis and me. These are meant to fill a void in patient education and support for DGP as well as exploring alternative treatments, notably GIMOTI to relieve symptoms of DGP. We're gaining significant engagement and support of patients through these sites, which allows us to provide community for patients and provides a forum to address these questions that patients are asking on other community sites that I mentioned previously. In addition to providing education, diet tips, access to dieticians and guides to help them advocate for themselves with their providers allows us a forum to share positive HCP and patient testimonials, which are powerful tools to support patient choice. On previous calls, I have shared anecdotes from providers and patients about positive experiences with GIMOTI. These stories are growing as physicians continue to prescribe and leverage samples per patient trial. There are many stories like the one Dave shared. There was a recent story where a patient was provided a sample in an office. Patient asked if they could try the sample right then and there, which they did. After leaving the office, the patient called back crying as they felt so good that they decided to attempt to eat the first solid meal that they haven't had in months and it was successful in keeping that meal down. The nurse was so invested in the patient that she too was in tears as she immediately called our representative to share the experience. We are focused on capturing these patient and provider experiences and sharing them on our website, social channels through representative promotion and in peer to peer programs. We've launched our first physician and patient testimonials with our representatives to use on calls and at the American College of Gastroenterology Meeting where we just exhibited a few short weeks ago. Early feedback has been tremendous as HCP hear the patient's experience and hear from the HCP how GIMOTI has changed his paradigm in treating patients with DGP. This physician shared that he is currently switching patients on the oral metoclopramide to GIMOTI and beginning to use GIMOTI first-line as his prescription of choice for patients with diabetic gastroparesis. These messages resonated with providers, who we spoke with at the American College of Gastroenterology, or ACG, which is the largest conference we had attended since the launch of GIMOTI. Many providers proactively sought us out and visited the booth just on the basic premise of nasal option for patients with DCP. We had hundreds of complete discussions with providers, which resulted in a desire to try GIMOTI and request for samples. I am very positive. We also learned that a number of providers were not aware of GIMOTI or where the GIMOTI is commercially available. This is not totally unexpected and we see this as a tremendous upside for GIMOTI. When providers hear our story, the value proposition of GIMOTI resonates. It's just a matter of time and consistent strong execution and GIMOTI will be successful. I am confident of that and our leading indicators all pointed at. As we look to the fourth quarter and beyond, we will continue to focus on driving awareness and trial of GIMOTI with HCPs and patients. In addition, we will focus on improving access to GIMOTI via our patient services and savings programs in addition to working on expanding appropriate access and the utilization practices through payers. They too have a little awareness of the true burden of DGP, lack of viable treatment options and how GIMOTI could provide a significant option to patients. I'm encouraged by our current efforts and plans to further support providers and patients in understanding the value of GIMOTI and I am committed to achieving commercial success. With that, I'll turn the call back over to Dave.
Dave Gonyer: Great. Thanks, Chris. We're proud to see that our commercial strategy is producing results marked by an increase in organic sales from last quarter, rise in number of prescribing physicians and sustained levels of refill rates. Furthermore, the therapeutic benefits of GIMOTI are validated in our ATU study results and in practice based on the positive testimonials of doctors and patients. Our partnership with EVERSANA is stronger ever. We're fully committed to the success of our sales reps out in the field and gaining increased traction among physicians every day. As we now enter the final quarter of the year, we plan to charge full speed ahead and have a strong finish. So, now let me turn it over to Matt to review the third quarter 2021 financials. Matt?
Matt D'Onofrio: Thanks, Dave. Once again thank you all for joining us this afternoon. Restating the basics of the EVERSANA grants, EVERSANA will receive reimbursement of its commercialization costs pursuant to an agreed upon budgets and are only paid back through a portion of the revenue as it is recognized and received. Once those costs are covered, EVERSANA will receive a percentage of product profits in the mid to high teens while Evoke retains over 80%. Net product profits or the net sales of GIMOTI less reimbursed commercialization costs, Evoke manufacturing and Evoke administrative costs set at a fixed percentage of net sales and third-party royalties. During the term of our agreement with EVERSANA, they have agreed not to market, promote or sell a competing product in the United States. Now let me review our financials for the third quarter 2021 results. The net loss for the third quarter of 2021 was approximately $2 million or $0.06 per share compared to a net loss of $2.1 million or $0.08 per share for the third quarter of 2020. For the third quarter of 2021 net product sales were approximately $930,000 compared to approximately $237,000 during the second quarter of 2021. The increase in the net sales was due to both the sale to a third party for research purposes and increase in organic GIMOTI prescriptions. FDA approved the GIMOTI NDA in June 2020 and we began commercial sales in late October 2020, so there were no comparative net product sales during the three months ended September 30, 2020. Research and development expenses totaled approximately $0.1 million for the third quarter of 2021, compared to approximately $0.2 million for the third quarter of 2020. For the third quarter of 2021, selling, general and administrative expenses were approximately $2.6 million compared to approximately $1.9 million for the third quarter of 2020. We expect that selling, general and administrative expenses will increase in the future as we continue to progress with the commercialization of GIMOTI and reimburse EVERSANA for the net profits attained from the sales of GIMOTI. Total operating expenses for the third quarter of 2021 were approximately $2.8 million compared to total operating expenses of approximately $2.1 million for the same period of 2020. As of September 30, 2021, the company's cash and cash equivalents were approximately $11.1 million. We expect our cash and cash equivalents will be sufficient to fund our operations into third quarter of 2022. We will now like to open up the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ram Selvaraju from H.C. Wainwright. Your line is now open.
Mitchell Kapoor: Hi, everyone. This is Mitchell on for Ram. Thank you for taking our questions. The first one I've got here is just wanted – wonder if you could talk about the total prescriber rates and how they've been trending. And then how many of the initial prescribers from 3Q and 4Q of 2020 are still prescribing today?
Dave Gonyer: Great question. I'll turn that over to Chris, Mitchell.
Chris Quesenberry: So we think our new prescribers and total prescribers each quarter since the fourth quarter, the number of 46 to about 383 total prescribers to date. The number of prescribers that continued to prescribe is continuing to increase. I don't have the actual number of physicians that continued to prescribe. What I can tell you is the percent of prescribers that are prescribing more than once has increased significantly over the quarters. So right now a majority of the prescribers are prescribing more than one, and we have a subset of physicians that are prescribing in multiples.
Mitchell Kapoor: Okay. That's super helpful. And then thinking about the prescriber trend from 3Q to 2Q, the new prescribers, the slight decrease. Is that largely due to COVID? Or could you talk about the COVID impact versus maybe other factors there?
Dave Gonyer: Thank you for that question. So I think there is still some lagging impact from COVID. We know the third wave was actually the entire third quarter. I will say that we did – despite that increase in the third wave we did increase our reach to physicians and that drove our performance. I think probably most of the impact is that we implemented our sampling program at the end of third quarter and we have distributed now probably over 3,200 samples. Those samples are a month supply, which is incredibly generous. And so, we believe that many of the physicians, who would try GIMOTI, are trying with the samples. And so that may have caused a decrease in the number of new prescribers.
Mitchell Kapoor: Okay.
Chris Quesenberry: And maybe I could add onto that, Mitchell. There's one other aspect to that. The majority of those samples in the sampling program was targeted at physicians, who had not yet tried GIMOTI. So that is another rationale as to what might be dampening that first prescription in terms of an actual fill versus they still may be trying, just not actually writing as much.
Dave Gonyer: Yes. The samples are going to be an important tool for us. The access to physicians has increased. So there's 173% increase in access to those that we have sampled that post-sampling versus pre-sampling. And then those that have been sampled are three times more likely to prescribe. So we feel like the sampling program although it created a temporary dampening will actually turn out to be a positive uplift for us.
Mitchell Kapoor: Okay. That's very helpful. And then just the last one, if I may, the 683,000 research sale, could you just talk a little bit more about that and the terms of the contract? Just any more color there.
Matt D'Onofrio: Yes, Mitch. This is Matt D'Onofrio. So, yes, it is a – it's a research sale to a third party. Of course, we don't disclose who that third party is in terms of any other contracts associated with that. Otherwise, we can't say that it's going to be continuing or otherwise we really don't have any specific information as of yet.
Mitchell Kapoor: Got you. Thank you very much.
Dave Gonyer: Sure.
Operator: Thank you. Your next question comes from the line of Yale Jen from Laidlaw and Company. Your line is now open.
Yale Jen: Good afternoon and thanks for taking the questions. My first question is that – in terms of the third quarter between the new prescribed – drug – new prescribed versus the refilled, could you do some breakdown in terms of percentage between the two?
Dave Gonyer: So the percent of total prescriptions versus new prescriptions continues to increase, which of course, will corresponds to the fact that patients are staying on therapy. So we have patients that have been on as long as 10 months of therapy. So the average is around three. But what we're seeing is, is that the percentage of the prescription being new is right kind of where we needed to be.
Yale Jen: Okay. And giving that you have started heavy on the sampling projects in the mid-year – a little bit after mid-year. Would you estimate that maybe by fourth quarter or early next year, the user experience will increase much more, and that will translate to actually sales from those patients – potentially from those patients and physicians?
Dave Gonyer: Yes. I think that's a fair statement. So we do believe that we start to see the impact kind of mid fourth quarter into next year. And so, we are focusing on converting those samples into prescriptions. And so, we're following up with the offices proactively on that.
Yale Jen: Great. And then maybe the last question here is that you mentioned during your prepare remark, there is a one, I guess, or a few physicians actually treat us as a first line. I'm just curious whether for that practice, are they encounter any sort of pushback from the payer or others, or you guys being able to help to smooth out the reimbursement?
Dave Gonyer: So let me talk a little bit about that particular practice, and then I'll talk a little bit about the payers. So I do feel like that physician understands the value of GIMOTI and specifically for patients with diabetic gastroparesis sees it as the best route of administration to give these patients a chance to have a relief in symptoms. So not only is he switching over current patients on metoclopramide, he is starting to right first line. He is a gastroenterologist and he tends to see the patients that are referred even from other gastroenterologist for these patients that are difficult like the gastroparetic patients. So he is finding success in getting these covered because he is providing the rationale and is willing to support it. I will say that our patient services and hub team is increasingly getting better at getting those prior authorizations approved and that's due to bringing on new tools and just learning what it takes from each payer to get that approval secured. So we're seeing a couple of different dynamics there.
Yale Jen: Okay, great. That's very helpful and I think that's very encouraging as well. So keep up the good work and thanks for taking my questions.
Dave Gonyer: Okay, thanks Yale.
Operator: Thank you. There are no further questions at this time. I'd now like to turn the call over back to Dave for closing remarks.
Dave Gonyer: Great. Thank you. As I said earlier, this quarter was dedicated to executing on our strategy. Through our hard work and the value partnership that we have with EVERSANA, we continue to increase in-person access to physicians and fulfill strategic commercial initiatives to continue to expand the awareness and adoption of GIMOTI. We have an approved product that continues to grow in a large market with no other branded products currently. The overarching goal is delivering GIMOTI to diabetic gastroparesis patients desperately wanting to have a new option to treat this critical unmet need and helping improve their lives. We have cash on hand to support the business. As we accelerate sales growth, we'll continue working tirelessly to fulfill this mission of helping patients like you heard about today and in doing so helping GIMOTI to further achieve commercial success. I just want to thank our shareholders for their continued interest and support and we look forward to continue reporting back to you all. Thank you.
Operator: This concludes today's conference call. You may now disconnect.